Operator: Ladies and gentlemen, thank you for standing by, and welcome to the GoodRx Holdings, Inc. fourth quarter and full year 2025 earnings call. As a reminder, today's conference is being recorded. I would like now to introduce your host for today's call, Aubrey Reynolds, Director of Investor Relations. Ms. Reynolds, you may begin.
Aubrey Reynolds: Thank you, Operator. Good morning, everyone, and welcome to GoodRx Holdings, Inc.'s earnings conference call for the fourth quarter and full year 2025. Joining me today are Wendy Barnes, our Chief Executive Officer, and Chris McGinnis, our Chief Financial Officer. Before we begin, I would like to remind everyone that this call will contain forward-looking statements. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements, including, without limitation, statements regarding management's plans, strategies, goals and objectives, our market opportunity, our anticipated financial performance, underlying trends in our business and industry, including ongoing changes in the pharmacy ecosystem, our value proposition, our long-term growth prospects, our direct and hybrid contracting approach, collaborations and partnerships with third parties, including our point-of-sale cash programs and our Integrated Savings Program, our e-commerce strategy, and our capital allocation priorities. These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties, and other important factors. These factors, including the factors discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended December 31, 2025, and our other filings with the Securities and Exchange Commission, could cause actual results, performance, or achievements to differ materially from those expressed or implied by the forward-looking statements made on this call. Any such forward-looking statements represent management's estimates as of the date of this call, and we disclaim any obligation to update these statements, even if subsequent events cause our views to change. In addition, we will be referencing certain non-GAAP metrics in today's remarks. We have reconciled each non-GAAP metric to the nearest GAAP metric in the company's earnings press release, which can be found on the overview page of our investor relations website at investors.goodrx.com. I would also like to remind everyone that a replay of this call will become available there shortly as well. With that, I will turn it over to Wendy.
Wendy Barnes: Thank you, Aubrey, and thank you to everyone for joining us today. The fourth quarter marked a strong finish to the year and reflected disciplined execution across our strategic priorities. We expanded direct-to-consumer affordability programs with pharmaceutical manufacturers, scaled differentiated subscription offerings, and deepened relationships with retail pharmacies. Those results were shaped by a year of meaningful change across the healthcare landscape. In 2025, affordability pressures intensified, policy dynamics reshaped access and pricing, and consumers increasingly expected healthcare to be more transparent, accessible, and direct. Together, these shifts pushed affordability and access to the center of healthcare decision-making, an environment that plays directly to GoodRx Holdings, Inc.'s strengths. Against that backdrop, we moved quickly to translate market change into clear execution across our platform. We expanded access to high-impact therapies like GLP-1 and supported manufacturers as they leaned further into direct-to-consumer strategies. We launched condition-specific subscriptions that bring pricing, care, and access together in a single seamless experience. We partnered with pharmaceutical manufacturers to integrate pricing into TrumpRx, helping them operationalize self-pay pricing at scale. Taken together, these actions demonstrate how we are evolving GoodRx Holdings, Inc. to meet the needs of consumers, pharmacies, manufacturers, and policymakers in a rapidly changing healthcare environment. While our core marketplace remains foundational, we are increasingly orienting the business around Pharma Manufacturer Solutions as a key growth driver. This reflects the evolving dynamics of prescription access and pharmacy economics, where brands are playing a more significant role in retail performance. Importantly, this strategic evolution builds on a position of strength. With the number one prescription app and nearly 300 million site visits annually, we continue to lead in prescription savings. That scale and consumer reach uniquely position us to deliver value in an environment where affordability and direct-to-consumer access are becoming central to how medications are brought to market. As Pharma Manufacturer Solutions scales, it enhances our core platform by accelerating subscriptions, deepening retail relations, and expanding our ability to engage with employers, all while creating differentiation competitors cannot easily replicate. We believe this positions GoodRx Holdings, Inc. for stronger, more resilient long-term growth, even as we navigate near-term financial impacts from this transition. Diving into key business updates. Starting with Pharma Manufacturer Solutions, which has become a key growth engine for our business, with full-year revenue up more than 40% in 2025 year-over-year. The industry dynamics I just discussed, combined with tighter insurance coverage, are fundamentally changing how prescriptions are accessed. Affordability decisions are moving earlier in the journey, forcing patients to play a more active role in how medications are selected, paid for, and filled. At the same time, the rapid growth of GLP-1 through obesity has accelerated direct-to-consumer models and heightened expectations around transparency and convenience. As a result, consumers increasingly want the prescription experience to reflect the standard set elsewhere in their lives, with digital-first tools, transparent pricing upfront, and a seamless path from decision to fulfillment. The prescription journey has not kept pace at scale, and that gap becomes most visible at the moment consumers are ready to act. This makes direct-to-consumer engagement essential. Pharmaceutical manufacturers are investing more in patient-facing strategies to meet consumers earlier and need partners that can execute those strategies at scale. That is where GoodRx Holdings, Inc. stands apart. With nearly 25 million consumers and more than 1 million healthcare professionals using our platform each year, we operate directly in the flow of patient decision-making, enabling manufacturers to turn pricing strategies into real access and adherence. That momentum sets the stage for the next evolution of Pharma Manufacturer Solutions, which we are now calling GoodRx Pharma Direct. This evolution reflects a clear vision for the role GoodRx Holdings, Inc. plays in modern pharmaceutical commercialization, serving as a proven digital storefront for self-pay and direct-to-consumer strategies that are becoming increasingly central to prescription access. For pharmaceutical manufacturers, Pharma Direct provides the infrastructure to bring affordability programs to market at scale, applying modern e-commerce principles to prescription access. This creates a streamlined, repeatable way to launch self-pay strategies without building new consumer platforms or point solutions. This capability matters because self-pay is increasingly shaping how drugs are brought to market, with manufacturers launching with discounted cash prices as a core access strategy. Earlier this year, Novo Nordisk launched the Wegovy pill, with select doses available for $149 per month. As one of the launch collaborators, GoodRx Holdings, Inc. offered this lowest available self-pay price from day one, giving consumers immediate clarity on cost and access. When paired with a GoodRx Holdings, Inc. for weight loss experience, consumers are able to evaluate their treatment options and, if eligible, move forward without delay. Based on data Novo Nordisk released during the recent earnings call, paired with our own internal data, we believe GoodRx Holdings, Inc. accounted for nearly 20% of all Wegovy pill self-pay fills during a single week in January, demonstrating the scale and reach of our platform. More broadly, this model has the potential to scale across the GoodRx Holdings, Inc. platform. The same self-pay strategies that support launches also strengthen subscriptions and drive savings at the retail counter. Today, we have more than 100 brand self-pay programs live, many of which are integrated into TrumpRx to further expand their reach and visibility. This foundation also enables us to serve as a key integration partner for pharmaceutical companies offering discounted cash prices on TrumpRx. Manufacturers are partnering with us to host their self-pay prices on GoodRx Holdings, Inc. We then integrate those prices into the TrumpRx platform. Our nationwide pharmacy network and home delivery capabilities, when available, mean the programs we are hosting can scale quickly and consumers can access the savings wherever they choose to fill their prescriptions. We are proud to be the integrated pricing source for Pfizer and other leading manufacturers at launch, including over 30 of Pfizer's essential brand medications, spanning women's health, migraine, arthritis, rare disease, and more. This integration underscores GoodRx Holdings, Inc.'s role as critical infrastructure for delivering manufacturer affordability programs at national scale. Pharma Direct reflects how pharmaceutical commercialization is evolving, with self-pay and direct-to-consumer strategies playing a central role, and how GoodRx Holdings, Inc. is enabling that shift. Laura Jensen, our Chief Commercial Officer and President of Pharma Direct, is here with us today and will be available to address questions about Pharma Direct following our prepared remarks. Laura joined GoodRx Holdings, Inc. from Amazon Pharmacy in August to lead our work with pharmaceutical manufacturers, and has been instrumental in shaping and accelerating this strategic evolution. Turning to Rx Marketplace. The fourth quarter marked important progress in stabilizing our prescription marketplace and deepening our partnerships with retail pharmacies, even as the broader retail pharmacy environment remains challenged. We significantly expanded our e-commerce ecosystem, tripling our retail footprint through an accelerated rollout of new partners during the quarter. This expansion allowed us to exit the year with 6 of our top 10 retail pharmacies live on our platform and drove a clear inflection in consumer adoption, with order volume up 83% quarter-over-quarter. At the same time, we strengthened the underlying economics of the marketplace. We now have direct contracts in place with 9 of our top 10 retail pharmacies nationwide, providing a strong foundation for attractive retail margins. We also drove strong RxSmartSaver momentum and continued to scale Community Link, implementing direct contracting at an expanding number of independent pharmacies nationwide. Turning to subscriptions. We continue to execute against our condition-based strategy, focusing on high-intent areas where affordability and access are the primary barriers. In 2025, that included erectile dysfunction, hair loss, and weight loss. While still early, the initial launch and subscriber activations have exceeded our expectations, reinforcing our confidence in this approach. Weight loss, in particular, highlights the unique role GoodRx Holdings, Inc. can play in direct-to-consumer healthcare. GLP-1 treatments for weight management are often not covered by insurance, leaving most consumers paying out of pocket. With GoodRx Holdings, Inc. for weight loss, we simplify the entire journey, from virtual consultation to prescription to fulfillment, at nearly every pharmacy nationwide, using only FDA-approved therapies and pairing them with transparent, industry-leading, discounted cash prices, powered through our direct relationships with pharmaceutical manufacturers. Given the scale of unmet demand in this category, weight loss represents a meaningful long-term opportunity and a clear example of how GoodRx Holdings, Inc. serves as a connective layer across care, pricing, and access. Another important driver of subscription growth is the continued strength of our brand. Consumers recognize and trust GoodRx Holdings, Inc. as a reliable entry point for prescription savings. That brand equity is translating into efficient customer acquisition. We have attracted high-intent users and converted them at customer acquisition costs below industry benchmarks. Given those returns, we plan to continue investing in brand and performance marketing and will increase spend to drive subscription growth where we see strong unit economics. We also just introduced Employer Direct, a new offering designed to help employers address gaps in traditional insurance coverage by pairing their existing benefits with integrated cash pricing. The program is built to work alongside, rather than replace, employer health plans and gives employers practical ways to expand affordability and access without taking on additional plan complexity. There are two ways to engage with Employer Direct. First, employers can work with us to create medication-specific programs to contribute directly to the cost of individual brand medications that are not covered or are inconsistently covered under their health plans. These contributions are applied at the pharmacy counter, effectively buying down the employee's out-of-pocket costs for a specific drug. We launched this approach with our first employers at the start of this year, with an initial focus on GLP-1 medications. Second, employers can partner with us to offer an employer-specific version of GoodRx Holdings, Inc.'s condition-specific telemedicine solutions, including weight loss, erectile dysfunction, and hair loss. We see Employer Direct as a natural extension of the GoodRx Holdings, Inc. platform and a meaningful growth opportunity within our portfolio. I will now turn the call over to Chris to discuss fourth quarter and full year results, as well as 2026 guidance.
Chris McGinnis: Thank you, Wendy, and good morning, everyone. For the fourth quarter, revenue came in at $194.8 million, and Adjusted EBITDA was $65 million. This resulted in full-year 2025 revenue of $796.9 million, which was up 1% year-over-year. Full-year Adjusted EBITDA was $270.5 million, which constitutes 4% growth over 2024. Our 2025 financial performance was in line with the company's latest guidance, with Adjusted EBITDA just above the midpoint of our guidance range. Drilling down on full-year revenue, prescription transactions revenue declined 6% year-over-year to $544 million. As we previously discussed, the impact of the Rite Aid bankruptcy and lower volume through one of our Integrated Savings Program partners was approximately $35 million-$40 million for the year and therefore impacted our year-over-year growth rates. Subscription revenue decreased 3% year-over-year to $83.8 million. We have seen strong early adoption related to our condition-specific subscriptions, particularly around weight loss, which started late in 2025. We expect it will contribute more meaningfully to overall subscription revenue in 2026. Revenue from Pharma Direct, previously Pharma Manufacturer Solutions, increased to $151.4 million, up 41% year-over-year, driven by deepening our sell-through at manufacturers and ongoing growth in our consumer direct pricing. Our balance sheet remains strong, ending the year with $261.8 million of cash on hand, with approximately $80 million of unused capacity available under our revolving credit facility. During the year, we repurchased approximately 48.9 million shares of our stock at an average price of $4.45 per share, totaling $217.4 million. We continue to believe that share repurchases are a signal of management's confidence in the company's future and are the most efficient method of returning capital to shareholders. For the full year 2026, we expect revenue to be in the range of $750 million-$780 million and Adjusted EBITDA to be at least $230 million. Our outlook reflects the decisions we are making to ensure the long-term durability of our business. We are making trade-offs to invest more heavily in our Pharma Direct and subscription offerings, which strengthen our ability to deliver value to pharma, improve the economics of our retail relationships, and continue to simplify how consumers engage with prescriptions on our platform. Furthermore, we have made deliberate choices to favor long-term durability and certainty that will negatively impact our near-term unit economics. As a result, and in combination with the lapping impacts from 2025, we expect pressure on prescription transactions revenue in 2026, which is reflected in our guidance. We expect Pharma Direct revenue to grow at least 30% in 2026 year-over-year. While our newly launched condition-specific subscription programs are not material today, the programs accelerated significantly in the fourth quarter of 2025, and we expect that to continue throughout 2026. As Wendy noted, our prescription transaction offering is foundational and enhancing performance remains a top priority. While monthly active consumers fell 14% in 2025 versus the prior year, we expect monthly active consumers to be flattening sequentially from Q4 2025 through Q4 2026. We are encouraged by the continued growth profile of Pharma Direct and subscriptions offering and the robust interest in our Employer Direct offering. We strongly believe the strategy we are executing on will build momentum throughout the year and put us in a position to grow beyond 2026. With that, I will turn the call back over to Wendy.
Wendy Barnes: Thanks, Chris. Looking ahead, what stands out to me is how closely our strategy aligns with the realities of today's healthcare environment. The work we have done over the past year positions us squarely against the shifts reshaping access and affordability and strengthens both the relevance and long-term resilience of our platform. Healthcare is becoming more consumer-driven. Manufacturers are playing a more active role in pricing and access. Retail economics continue to evolve. Those dynamics require new models. We have been intentional about building the capabilities and partnerships that allow GoodRx Holdings, Inc. to meet that moment. We have made clear choices about where to focus and how to compete. As Chris mentioned, these choices will impact prescription transaction revenue in the near term as we transition to improve the durability of the offering and bolster the growth of Pharma Direct and subscription revenue in the long term. As we move into 2026, our priority is executing against those choices with discipline and consistency, while continuing to strengthen the foundation of our platform. I am confident in the direction we have set and in our team's ability to deliver. I will now turn the call over to the operator for questions.
Operator: Thank you. To ask a question, please press star one one on your telephone and wait for your name to be announced, and to withdraw your question, please press star one one again. We ask you to please limit to one question and one follow-up. Our first question is going to come from Michael Cherny with Leerink Partners. Your line is open.
Michael Cherny: Good morning. Thanks for taking the questions. Maybe, Chris, if I can dive in a little bit more on the revenue guidance. You talked about the pressure in PTR, yet a stabilizing of the MAC rate. Can you talk a little bit about the unit economics in terms of what it physically looks like? What are some of the recontracting efforts you are taking, and how will it change, or will it not change, your positioning and relationship across pharmacies, PBMs, and members?
Chris McGinnis: Thanks, Michael. I appreciate the question. Let me unpack the decline on the PTR side a little bit. I think there are three primary factors that are really driving the decline. First, as I noted in my prepared remarks and as we have talked about previously, we had significant revenue coming from Rite Aid and some of our other partner programs during 2025 that will not recur in 2026. Secondly, we are seeing a shift of claims, particularly around high-cost branded medications, from our core business to Pharma Direct, and that is reflected in the growth profile of our point-of-sale programs within that offering. Finally, as you are calling out, I think the largest contributor is a decline from unit economics. This is a negotiation of lower fees across multiple partners in our ecosystem. We are doing this in exchange for longer-term durability and predictability, as I mentioned in my prepared remarks. That is a significant reset of our unit economics. We factored this into the guidance. I think it is a headwind of, as a percentage of consolidated revenue, an impact in the mid-single digits. We believe this positions us to steady the core over the long term, and I think, as you point out, it reflects our MAC trends. We have modeled MAC. Our exit rate of 2025 was 5.3. We have that number basically flat to slightly declining. Maybe we end the year at about 5.2 and think about it as relatively flat to just a slight decline. We are trying to stabilize the core. There is a simple math question: it is the rates we get times the volume we get. The first order of business is stabilizing the volume. We think working with partners in the ecosystem to ensure that we are limiting getting disintermediated at the counter, and that we are pushing consumers to the right program—whether it be Pharma Direct or the retail counter—optimizes our overall solution. It optimizes our overall relationship with retail partners. We view the overall retail relationship as a two-way street. Brands used to be a loser at retail, and we are ensuring that it no longer is. When we look at that relationship in aggregate, we are trying to mitigate the disintermediation and the competition at the admin fee level. When we can trade off and exchange longer-term predictability on a rate side for near-term pressure, but stabilize the volume, we think that is the first step in a longer-term, more durable, value-add profile.
Michael Cherny: It is on the same lines, and I apologize for interrupting, but as you think about that, obviously lower revenue on a high-margin base drives lower drop-down. Is there any way alongside that to bifurcate relative to EBITDA guidance, some of the investments you are making? If we think about the baseline EBITDA bridge from 2025, how much of the reduction year-over-year is, call it, offensive—making investments—versus defensive, absorbing these new economics?
Chris McGinnis: We have not guided to any specific line item, but if you think about what we are trying to let you back into, it is the lapping impacts. You can see it last year. We had Rite Aid in for a little bit better than half the year. We talked about the other programs during Q2. You can understand that was a meaningful lap. Then I would say, roughly, the other half is related to some elective decisions to be aggressive to stabilize over the long term.
Operator: Thank you. Our next question will come from Jailendra Singh with Truist. Your line is open.
Peyton Engdahl: Hi, this is Peyton Engdahl in for Jailendra Singh. I wanted to talk about the pharma budget spending environment. There have been some pharma services and HCIT companies that have talked about their pharma clients' budget deployment increasingly being released in smaller, more phased increments. Have you seen any impact on the size, duration, or ramp time of the new Pharma Direct programs? Is that influencing your visibility?
Wendy Barnes: Laura and I will take that one in tandem, Peyton, and good morning. I would start with a broader observation. One notable observation this year has been to the contrary of what you pointed out, which is more of the spending has been pulled forward in our sales cycle, which was a different experience for us historically. Beyond that, let me let Laura jump in with more specific observations, given she has the ongoing relationships with our pharma partners.
Laura Jensen: Thank you for the question. We are seeing some of that budget being pulled forward this year, whereas last year there were a few key partners who were booking quarterly. Now they are booking earlier in the year, in fact, 2026. Broadly, I would say pharmaceutical manufacturer budgets, especially on the direct-to-consumer side, are continuing to invest in these types of programs where they are going direct to patients, they are going through partners like us, as well as building their own solutions. We are seeing some trends on the HCP side, where those budgets were a little bit soft earlier in the year, but those are opening up as well. I would say it is a little bit different than the comment that you made, but we are certainly seeing those budgets pretty healthy this year.
Peyton Engdahl: Great. Thank you.
Wendy Barnes: One other note for you, Peyton, that may be helpful. Our bookings in Pharma Direct as a percentage of our overall plan are up relative to the same point in time last year, again pointing to more being pulled forward. If that gives any more confidence, it certainly has bolstered our confidence in why we continue to lean so heavily into Pharma Direct.
Peyton Engdahl: Great. Thank you.
Operator: Thank you. Our next question will come from Lisa Gill with JPMorgan. Your line is open.
Lisa Gill: Thanks very much. Good morning, Wendy and Chris. Wendy, I want to understand a few things better when I think about the business right now. A lot of your comments today were talking about the manufacturing direct. Are we talking about a specific business model change here? What do you think about the future of your legacy business? At our conference, you talked about the relationship with Surescripts and the opportunity to really capture that patient when they are with the provider. Are you not seeing the benefit that you anticipated? You are talking a lot about direct-to-consumer. I want to think about how you are thinking about the future of this business. I heard you talk about 2026 as a transition year, but how do we think about it longer term and the key elements of what GoodRx Holdings, Inc. will look like?
Wendy Barnes: Good morning, Lisa. Thank you for the question. Let me start by saying the core, what we largely refer to as Rx Marketplace, will always be foundational to our business. The manner in which consumers transact at pharmacies I do not see going away. Since this company's inception, that model has evolved vastly from the manner in which we largely contracted with pharmacies through PBM relationships. While many of those still exist, we have had to pivot to direct relationships with pharmacies to ensure that margins were fair for our pharmacy partners and to return a greater degree of control to us. We are also being as intellectually honest as we can about what we see in the broader market. There is no question that as the cash space has become more competitive, that space has become more pressured. I stand behind the notion that we are and will continue to be the number one drug affordability marketplace for consumers. The reality of where we are at this point in time, with consumers wanting more direct experiences, pharma leaning into it, payers supporting that model, and the regulatory environment pointing more toward consumer-direct programs, is that we would be remiss to not take advantage of that opportunity. That margin is also more durable and more appreciated by the public market. We see our ability to be successful there as an inflection point for us as a business. That is why you are hearing me say that, over the longer term, Pharma Direct, coupled with Employer Direct, will continue to feed those retail relationships. Will that core legacy business continue to be part of the flywheel that powers that? Absolutely. We know that the basket of drugs that historically are filled in the U.S. tends to be primarily generic. However, those drugs that tend to hurt your out-of-pocket the most are brands. That is why we have to focus on the smaller subset of drugs, and that does point to an evolution in our model, and that is what you heard us speak of here. That is why we are shifting where we are investing and leaning in more heavily to where we see the market going.
Lisa Gill: Thank you.
Wendy Barnes: Good to hear from you, Lisa.
Operator: Our next question will come from John Ransom with Raymond James. Your line is open.
John Ransom: Good morning. Maybe this is for Chris. The way PTR used to work was it was about a $5 take rate on 100 million scripts. You mentioned it is down low, missing a digit on total revenue. Is the difference between the $500 million and what is coming mostly a lower take rate, or is there also some script degradation embedded in that as well?
Chris McGinnis: Thanks, John. We are trying to stabilize the underlying volume of scripts, and that is reflected in how we are thinking about the flattening of that curve versus 14% down last year. Sequentially, quarter-over-quarter, relatively flat. If you look back, the PTR per MAC was going up throughout the year, which reflects the power of what we were trying to accomplish. What we are trying to now say over the long term is that could and will continue going into the future. For today, we are trying to renegotiate across our entire supply chain, up to pharma and everywhere, a longer-term, durable approach to economics. We sit in a unique position between pharma's direct-to-consumer strategy. We have a platform where it is paramount that we have a retail footprint that is 70,000 stores, where pharma can deliver its direct-to-consumer strategy across all of those retailers in a powerful way, in ways that brands make sense to be dispensed there. Similarly, the fact that we have Pharma Direct growing as it is and becoming a much more meaningful part of our revenue profile allows us to share brand economics with retailers. There is a much more holistic approach than simply talking about take rate for us. It is a bidirectional flow of funds now that we think about across our ecosystem.
John Ransom: Thank you. My follow-up for Wendy is, the company has been publicly saying, "We would love to get to the finish line with Lilly." It looks like this is a perfect model for Lilly, but are they still, do they just like the LillyDirect, and they do not want to have any third-party intermediary, or is there still some hope that maybe that can happen?
Wendy Barnes: I will start by saying we probably will not comment on any specific deal, John Ransom, but I would love for Laura Jensen to take that, who joined us with a strong resume filled with relationships with pharma at the top, which we were missing in many instances. It is one of the things that Laura Jensen and her team have done an exemplary job building out. Laura Jensen, please take it.
Laura Jensen: Thank you for the question. Broadly, pharmaceutical manufacturers are looking at building their own direct-to-consumer experiences, whether that is through programs like a LillyDirect, AstraZeneca has one as well, Pfizer has one. Very much also looking at where to meet patients where they are on other platforms. I just came over from the Amazon Pharmacy team, and now here at GoodRx Holdings, Inc., where we are building those types of solutions as well, where patients are already shopping for other pharmaceuticals. The idea is that pharmaceutical manufacturers do not have to choose. They can deploy these resources to patients wherever that patient chooses to fill their prescription, and wherever they search for information about that prescription once a treatment decision has been made. They are working with us to get to those patients in a way that is comfortable for those patients, but also to learn about how to go direct. Manufacturers historically are not set up well, from a corporate and strategic perspective, to go direct as a consumer-facing organization. That is not historically how they have gone to market. We are at the early stages of how these companies will move through these direct-to-consumer models, and we are taking our cues from patients, but also investing in this area to be able to grow alongside our pharmaceutical manufacturer partners.
John Ransom: Thank you.
Wendy Barnes: John, I would also add, part of the dialogue that we continue to have with our pharma partners is one of, "We understand if you have interest in your own direct program, but let us show you the data that we have proven out over and over on what it looks like for the average consumer to come looking for a brand price in our environment versus a broken-out brand.com experience." I do not want to suggest that those direct programs are not effective. They are and can be. The ability for a consumer to look for their entire basket of drugs inside an environment like GoodRx Holdings, Inc. versus four or five different manufacturer programs with a different user experience, the data is irrefutable as to what that delta looks like, and it is meaningful. We share that information with our pharma partners to say, "If you want to have your own direct program, we can support that, too. We can also do that inside of our environment, so the consumer does not have to click out, or in some instances, you might consider loading your brand opportunity just in our environment, and we see a much better outcome as a result." That is what we continue to share with our pharma partners. Slowly but surely, that approach is starting to make more sense for our pharma partners. There is no question that—
Chris McGinnis: Even a launch with cash approach is new and novel, and it is something that, historically, pharmaceutical manufacturers had not done much of.
John Ransom: Thank you.
Operator: Thank you. Our next question will come from Steven Valiquette with Mizuho. Your line is open.
Steven Valiquette: Thanks. Good morning. Thinking about the guidance and potential margin pressure year-over-year, back of the envelope, maybe it is 400 basis points year-over-year. Could be higher, could be a little bit lower, but I am trying to get a better sense of how much of that margin pressure may show up in gross margins versus higher SG&A as a percent of revenue or perhaps higher R&D as well. Just trying to think about it from a modeling standpoint. Thanks.
Chris McGinnis: Thanks for the question, Steve. The cost of revenue is a little higher when you think about the mix of our business from our condition-specific subscriptions offering. That has an operating cost associated with it, such as clinical visits. Historically, the core business of the PTR line had a higher margin. Pharma Direct is a high grower with a healthy margin profile, but that has diluted the higher core business margins over time. These new offerings have the same impact. They still have healthy margins, but are a little bit dilutive to the historical margins on the core. From an expense profile perspective, the rationale of putting a floor on, versus a range that would tie a margin percentage to the top-line revenue, is that we did not want to be handcuffed to that, so we put a floor on it. There are some elective decisions we want to make. Wendy noted that our subscription offerings are exceeding our expectations. We are rethinking subscriptions overall. We have things we are investing in on the Pharma Direct side. We really wanted the ability to invest further if it makes sense. Wendy also mentioned in her prepared remarks that our CAC is below industry standards. Until we see a diminishing return, we may want to continue to invest there. We raised our EBITDA margin profile throughout last year. If you look at our expense profile, it will be down in absolute dollars. I think it will be relatively consistent, if not down a bit, on a percentage of revenue basis, to your question. We have proven that we will be good stewards of shareholder money and drive efficiency. We will continue to do that, but we will make elective decisions to spend where appropriate.
Steven Valiquette: Thank you.
Chris McGinnis: Yes.
Operator: Thank you. Our next question will come from Stan Berenshteyn with Wells Fargo. Your line is open.
Stan Berenshteyn: Good morning. Thanks for taking my questions. Wendy, first on PTR, historically, 50% of MACs have been sourced by the top 10 HCP relationships you have had. Is there still a focus on that to drive the MAC volume, or has your approach evolved?
Chris McGinnis: Stan, can you clarify your question again? I am not quite following.
Stan Berenshteyn: Historically, I believe 50% of the MACs on your platform have been sourced by the top 10 HCP relationships you have had. Is there still a focus to drive MAC volume through HCPs, or have you changed the strategy?
Chris McGinnis: I am going to claim a little ignorance as it pertains to top 10 HCPs. I am not sure what you are referencing there. We have 1.2 or 1.3 million HCPs that typically engage with us in any given fiscal year. We are focused on a broad swath of HCPs, and those are largely driven by our manufacturer relationships and the NPI/prescribers that they have interest in driving volume through. Of course, generics is a much broader swath of HCPs, and we know that HCP recognition of GoodRx Holdings, Inc.—I think we have 85% to 90% HCP recognition of our brand. HCPs will continue to be an area of focus for us, largely, again, in partnership with pharma. Some of our marketing efforts point toward HCPs, but it is more driven by our partnerships with pharma to drive that recognition and utilization.
Stan Berenshteyn: Okay, great. Chris, how should we think about your sales and marketing efforts in 2026? You have some pivots in your revenue strategy. Are there any changes in how your sales and marketing is getting deployed? Given the top-line pressures this year, are you able to absorb some of that impact through continued reduction in sales and marketing intensity? Thanks.
Chris McGinnis: I appreciate the question. In terms of sales and marketing efforts, as I said on one of the previous questions, we will continue to redirect some of our overall marketing spend toward specific programs. There is a brand halo effect there, but we have a great marketing team led by Ryan Sullivan. We spend a lot of time together talking about key metrics and what we are seeing and how it is driving our overall business. We did bring down spend overall last year. In terms of absolute spend, with the revenue drop, we brought down the dollars, but as a percentage of revenue, it is essentially in line with what we spent last year. Will we raise that? That is one of the reasons we put a floor under EBITDA as opposed to a specific range. We want the ability to spend more as we see that opportunistically. Largely, you will continue to see us push more into the campaigns around our specific offerings. Hopefully, that answers your question.
Wendy Barnes: I might add, we do considerable review and discussion on a monthly basis as we examine the optimal ROAS profile of anywhere we are spending marketing dollars. We make shifts accordingly to ensure that we are sending dollars to the highest-ROAS opportunities. Ryan is one of the few CMOs I have worked with over the years who is a truly data-analytically driven individual. That is his background, and he is strong at taking the data to make sure that, objectively, we are making the best decisions and trade-offs. We made decisions to shift dollars, and decrease dollars in certain buckets, to point them towards our highest and most important strategic initiatives coming out of 2025 and into 2026. Strategically, the biggest decision shifts we made were largely coming out of Q4 2025 when we launched our weight loss subscription offering and started seeing the early results, and we have made decisions in early 2026 to keep pushing that vector.
Chris McGinnis: Great. Thanks so much.
Wendy Barnes: Mm-hmm.
Operator: Thank you. The next question is going to come from George Hill with Deutsche Bank. Your line is open.
George Hill: Good morning, and thanks for taking the question. Wendy, is there anything that you can do increasingly on the generic side to monetize that opportunity? That is where the vast majority of prescriptions come. Then I will pause before a follow-up.
Wendy Barnes: We are never going to abandon the generic focus because, from a volume perspective, that is the overwhelming number of fills that all of us as consumers look to fill, and oftentimes, that margin profile for retailers is favorable. We know that is an important group of drugs for our retail partners. It really comes down to engaging the consumer, because most consumers have a mix of drugs. With that comes a handful of brands and typically more generics. It is less a question of how we optimize the generic component in the mix. It is more about how we engage more consumers, and how we continue to work directly with retailers, such that whoever is standing at their counter is utilizing our program over somebody else's when they have an opportunity to access discounted cash pricing. I do not think about it in terms of how we optimize generics. It is more about how we engage the consumer, and then their basket of drugs follows behind that.
George Hill: That is helpful. As a follow-up, it seems like you have made an investment in price or price concessions this year to support volume. How do we get comfortable thinking about the business longer term, that this is not a perpetual downward discussion every year? How do you think about price stability in the business in the medium term?
Chris McGinnis: It is the right question. The two primary businesses today are interrelated and support each other. If you look at the history of this company, since its inception, the flow of dollars has been one way. There is a transaction at retail, where they collected an admin fee, and they passed that back to us. The flow of dollars was one directional from retail to us. In the new environment, especially as Pharma Direct becomes a more meaningful part of our business, it allows us to have brand economics to share with retailers to ensure that they are making appropriate profits on the branded side, which they historically have not been able to do. Absent that business, one of the value propositions we have over our competitors is that you would continue to see pressure on generics at the counter. You would continue to see an erosion of admin fee. We are taking a longer-term approach of a total relationship, and a bidirectional flow of dollars between us, so that the counter tools, the disintermediation, and some of the race to the bottom on the admin fees that we have been experiencing—we are putting a floor under it, and we are using total economics from a relationship perspective. The growth of pharma, and the reason we are highlighting and emphasizing it, is because it is the vehicle through which we put the floor under the retail side.
Operator: Thank you. The next question is going to come from Brian Tanquilut with Jefferies. Your line is open.
Cameron (for Brian Tanquilut): Hi, this is Cameron on for Brian. Thank you for taking the question. This is the second quarter you have called out a volume reduction in Integrated Savings Programs. Can you unpack what is structural versus fixable there? What activity are you seeing from the PBMs that is causing this? Is this a conscious shift away or not, and what behaviors are causing this?
Chris McGinnis: Thanks, Cameron. To clarify, we are not calling out a new volume reduction. We were referencing the headwind we faced in 2025 relative to our initial projections, so everyone can understand the lapping impact of that as it relates to 2026. There is no new volume reduction. If you look at the MACs, we said they will be sequentially relatively flat. From a 14% decline year-over-year from 2024 to 2025, this year it is relatively stable. There is a mild decline, going from 5.3 down to 5.2-ish, give or take, which is how we have modeled it throughout the year. Relatively flat from a volume perspective. We are seeing some early signs of positive volumes that are too early to call. We talked a lot last year about the things that were impacting volume. It was not just volume from partner programs, but we were also seeing macroeconomic factors. The cost-plus pricing was raising prices on the consumer. Benefits were really good last year when you looked at the utilization rates the payers were disclosing. People were going on benefit. This year, we are watching very closely. We are seeing unemployment increasing. We are seeing regulatory changes impacting Medicaid eligibility. ACA enrollment looks light by about 1 million lives, and we suspect we will watch closely when those premiums come due without the subsidies whether that results in more people not having insurance. With the benefit profile this year, again, too early to call, I think our volumes are going to look relatively stable to slightly down, and we are going to watch for positive trends.
Wendy Barnes: If I could add, specifically as it relates to ISP, while ISP is always going to be a metered product opportunity for us, given the economic drivers inside of any PBM, I still contend that access to more commercial lives opens up additional volume possibilities for us as a discount card cash partner. The more the regulatory environment is pressing on payers to mandate integration of cash pricing, we contend that we are in a great position to take advantage of that, not the least of which is some recent notable comments from larger PBMs that GoodRx Holdings, Inc. is their option to integrate cash pricing. We do not do back handsprings around ISP. It is what it is, but we will continue to add partnerships there and add commercial lives that have an opportunity to avail themselves of an integrated price offer when and if the payer wants to completely open up that pipe.
Operator: Thank you. The next question will come from Allen Lutz with Bank of America. Your line is open.
Allen Lutz: Good morning, and thanks for taking the questions. One for Wendy. There have been a lot of changes going on in the business. Can you talk about how the web traffic and app usage is evolving as some of the areas you are focusing on are evolving? You talked about getting 20% of Wegovy scripts through GoodRx Holdings, Inc. Maybe talk about what is driving the strong adoption there. More broadly, you are shifting towards adding subscriptions for ED and hair loss. Can you talk about how the composition of your traffic is changing, if it is at all? Thank you.
Wendy Barnes: Let me start with GLP-1s in general and specifically the goodness we noted around the Wegovy pill. GLP-1s are a bit unique. I do not think any of us who have been in and around pharmacy benefit for a good portion of our careers have seen trends that follow what is happening with GLP-1s. Given they have low coverage for the indication of weight loss—different scenario as it pertains to diabetes—there is a low coverage threshold. You have a motivated population seeking competitive price points, which lends itself to our marketplace. In the same class, drugs that were largely injectable suddenly have an oral formulation. Those things created an environment in which not only did you have a price point at $149 for that first dose that felt more achievable for the average American, but you also have a bolus of consumers who had been on a compounded alternative, given a more attractive price point, who had a desire to be on an FDA-approved formulation. Our best guess is all of those vectors fed monumental uptake in the use of the Wegovy pill. Even previous to that, before we had that type of price point available on our platform, those drugs have long been some of the top-searched brand price points as consumers were looking for value. Overall, our brand price page views are up year-over-year. A lot of that is driven by GLP-1 interest. I would also give the regulatory environment some credit. The conversation on drug pricing in the news is schooling consumers to spend more time searching and looking for competitive price points in general. Laura, is there anything you would add, given we talk about this a lot with our pharma partners because it is one of the reasons they work with us.
Laura Jensen: Absolutely. The power of the launch of the Wegovy pill signaled that manufacturers going forward—specifically GLP-1 manufacturers, of course, but all manufacturers—are considering what an actual direct-to-patient cash offer is. Traditionally, manufacturers would think of this as a bridge to insurance. They were temporary as part of a launch strategy, but not a core part of their ongoing offering. Because, as Wendy said, we have never seen anything like this with the degree of cash mix versus insurance, it is paving the way for how manufacturers will be thinking about their brand strategies going forward. It is also the backbone of how we might be thinking about an employer strategy, where for patients who have gaps in their insurance or for products that may never make their way to a formulary, we can use a manufacturer net price, where an employer can help that patient buy down even more of those dollars. There is more utility for these offerings than just what it means from a cash perspective.
Operator: Thank you. Our next question is going to come from Craig Hettenbach with Morgan Stanley. Your line is open.
Jay Jin: Hi, this is Jay on for Craig Hettenbach. Thanks for taking my question. On Pharma Direct, how would you describe GoodRx Holdings, Inc.'s penetration of active brands with your current partners? How concentrated is that revenue across top brands, and how would you describe those budgets being durable through the cycle post the initial affordability push? Thank you.
Laura Jensen: Thank you for the question. Right now, we have approximately 200 manufacturer partnerships. For the point-of-sale cash programs, we have about 100 of them. A lot of that volume right now, from a dollar perspective, is concentrated on the GLP-1s, but we are seeing growth in other brands as well. For context, about 100 brands in the pharmaceutical industry make up the top 80% or so of most dispensed, highest volume, and the largest spend. We see a pretty typical distribution from that perspective, from a spend perspective as well, both on the media side and on the point-of-sale cash side.
Operator: Thank you. Our next question is going to come from Daniel Grosslight with Citi. Your line is open.
Daniel Grosslight: Thanks for taking the question. Can you comment more on the uptake you are seeing in your new subscription offerings and how we should think about growth in those offerings in 2026, particularly around weight loss and the introduction of more competition on the weight loss side? Coupled with that, how does this inform your marketing spend, particularly around these new subscription offerings? Thanks.
Chris McGinnis: Daniel, thanks for the question. As you know, we launched our condition-specific subscriptions in the back half of last year, with weight loss not launching until late November. I do not think we pushed marketing dollars until late December on that offering. A lot of that was organic. With 285 million-300 million hits on our pages, we get a lot of organic adoption from people naturally visiting. The oral solids that are coming out on the weight loss side are attracting a lot of the previous compounders, because now they can take an FDA-approved drug in pill form. We are seeing great adoption. It is not a material number. If you look at the exit rate, we had less than $1 million of revenue because it launched a month prior. I can see that growing 4x-5x as a run rate by December of 2026. It starts to become, while small today, an increasingly meaningful part of run-rate revenue by the end of 2026. There is some seasonality in weight loss and other things, but there are a lot of new drugs coming to market in this space and a lot of different uses and indications that will increase adoption. There are a lot of tailwinds on that weight loss offering. In terms of marketing dollars, we pushed a lot more of our marketing dollars to the condition-specific subscriptions. It continues to drive a halo effect on our brand generally. As long as we keep monitoring those things, we will continue to support those programs. When you launch a new revenue stream like this and you have invested as we have around some of these offerings, we will continue to support the growth.
Wendy Barnes: A big component that will influence what happens with our subscriptions going forward, particularly related to weight loss, is where the pharma price points move. Throughout this year, not only are there competitive molecules coming out, but as prices naturally come down, this particular class of drugs resets itself about every 4-6 weeks as something else comes out, a new formulation, and/or price point change. We have high confidence that as pharma thinks about the average consumer and how they want to access these medications, home delivery is not the only way in which consumers want to get these drugs. What we are offering pharma partners is a broad swath of retail partnerships, which makes it an attractive channel, particularly if you are looking to get it same day. Most people are motivated to go get these drugs. Once they are prescribed a GLP-1, they are anxious to get started. We are seeing high uptake given the natural retail partnerships that we have. Lastly, subscriptions for us goes beyond the condition subscriptions. It also envelops our Gold offering. We are spending considerable time rethinking what that should be in 2026. We look forward to talking more about the reinvention of that aspect of our product offering in subsequent earnings calls.
Operator: Thank you. This does conclude the Q&A session and today's conference call. Thank you for participating, and you may now disconnect.